Operator: Thank you for standing by. This is the conference operator. Welcome to Altus Group Fourth Quarter and Full Year 2020 Financial Results Conference Call. As a reminder, all participants are in listen-only mode and the conference is being recorded. After the presentation, there will be an opportunity to ask questions. [Operator Instructions] I would now like to turn the conference over to Camilla Bartosiewicz. Please go ahead.
Camilla Bartosiewicz: Thank you operator. Thank you and good afternoon everyone. Welcome to Altus Group's fourth quarter results conference call and webcast for the period ended December 31st, 2020. The news release announcing our results was issued after market close this afternoon and is also posted on our website along with our MD&A and financial statements. Joining us today are CEO, Mike Gordon; and CFO, Angelo Bartolini. We'll start with some prepared remarks and then we'll move right into the Q&A session. If we miss any questions, please contact me directly by e-mail. Angelo will begin by covering off our financial performance and the business outlook for 2021. And then you'll hear from Mike who will provide an update on our strategic priorities for the year and address today's announcement of the post-acquisition of Finance Active. Before we get started, please be advised that some of our remarks on this call may contain forward-looking information. Also please be reminded that Altus Group uses certain non-IFRS non-GAAP measures as indicators of financial and operational performance. Forward-looking statements and an explanation of these measures are detailed in today's news release and in our related reports on SEDAR. So, with that, I'll now turn the call over to Angelo. 
Angelo Bartolini: Thanks Camilla and thank you all for joining us this afternoon. It was a solid finish to the year. Considering the backdrop of a challenging external environment for our industry, we're pleased with our performance in 2020 delivering 7% topline and 17% adjusted EBITDA growth and a notable improvement to adjusted EPS at $1.67. In many respects, it was a key year of transition for us as we transitioned our employees to work remotely. We fully transitioned our software sales model to subscription pricing and successfully worked through a CEO transition. Throughout this period of change our execution was strong and our solutions and services stood up to the test as being mission-critical for our clients, reinforcing the strength and stability of our business model. We have strengthened many of our competitive advantages and remain very well-positioned for growth in 2021 and beyond. As you will hear from Mike today, we're very excited about the opportunities ahead of us this year and we're starting the New Year off with strong momentum and accelerating our pace. Turning to the quarter and the business segments. On a consolidated basis, revenues were up to $139.5 million, while adjusted EBITDA improved by nearly 20% to $26.7 million, improving our margins to 19.2%. At Altus Analytics revenues, were up to $51.5 million and earnings improved by 8% to $5.8 million. Our full year EBITDA margin of 18% came within our expected range. But most notably Over Time revenues, our key metric, were up sequentially and up 11% year-over-year to $43.5 million in the quarter. To add some color on the revenue performance. As you're aware, the fourth quarter still included the impact of the subscription model transition. For context, in Q4 2019, we had roughly $3.5 million in upfront perpetual license revenues that did not reoccur in the comparative period of Q4 2020. Although there will be some lagging perpetual deals in the comparative Q1 2020 number, this transition will be largely behind us and will provide for a smoother year-over-year comparative performance in 2021. As we had discussed on the last earnings call, we continued to feel the impact of the pandemic, primarily on our point in time revenue streams such as software consulting and training services which were down year-over-year. To a lesser extent than in Q3, we also felt the impact of lower sales volumes in the SMB space and overall prolonged sales cycles, especially for the larger deals. That being said, our pipeline is building and remains robust and we saw a healthy pickup in larger deals come late in the quarter such as the two big deals we announced with global service providers Newmark and JLL, both of which came in late December. FX was also a bit of a headwind in the quarter and is expected to remain a pressure point going into Q1. Most notably, our Over Time revenue base continues to build with sustained double-digit growth. The strength in Over Time revenues reflects a strong software subscription revenue base as a reflection of the economic model of both current and past deals, higher subscription license sales reflecting sustained customer expansion, and a steady addition of cloud clients -- a steady maintenance revenue base supported by an industry-leading retention rate for ARGUS Enterprise. Though we've seen some fluctuations on our retention rate throughout 2020, we expect it to remain stable in the mid-90s range. And finally, we had continued strength in appraisal management solutions and data subscription products. The external environment has truly reinforced the strategic value we bring to our clients through our analytics and data solutions which have been relied upon heavily in managing risk performance during the pandemic. Our appraisal management solutions grew strongly as we added new clients, continued to expand engagements with our existing clients, grew international revenues, and increased the number of assets on the platform. On the earnings front, I would add that the improvement includes the benefit of the restructuring program that we initiated near the end of Q2. But I would also remind you of our intention to reinvest for emerging opportunities and to strengthen the capabilities and support of our long-term strategy. And, of course, it reflects some of the cost savings realized from reduced travel and marketing events. With respect to our customer cloud migration journey we continue to make progress. Some highlights. We finished the quarter with 14% of our ARGUS Enterprise user base contracted on the ARGUS Cloud platform, up from just 10% at the end of Q3. During the quarter, we also surpassed 1,000 customer milestone for AE Cloud, an important momentum indicator. As you might recall, it took us approximately three years to reach that with our previous ARGUS on-demand hosted product. This includes both new AE customers as well as those who have migrated from the legacy on-premise version. While our cloud adoption continues to be SMB-driven we're starting to see more activity with larger clients such as the two notable deals with Newmark and JLL. Both are global influential service providers who will help drive broader adoption in the CRE ecosystem. The API capabilities were a key consideration to both large deals mentioned as they solve for significant pain points. Our customers deploy a multitude of technology applications to support various workflows and desire to transmit information seamlessly and efficiently. The next API connector on the roadmap will be with Yardi targeted to be launched next month. Through the Yardi API, we've built a 2-way connector to support the transmission of rent roll, financial and valuation data between our systems and this will add significant benefits to Yardi users. As we look ahead, we feel good about the opportunities for 2021 as our pipeline builds sales activities ramp up and as SMB volumes and software services begin to gradually rebound. As the global economy starts to recover activity levels are expected to rebound as companies worldwide push for more data-driven visibility on their CRE assets endeavor to streamline operations with technology and prioritize cloud-based solutions. The revenue impact of the model transition is now largely behind us which should allow for a cleaner comparative view. And with respect to COVID we anticipate a lesser impact in 2021 than we experienced in the past year. We have provided more information in the outlet sections of our MD&A, but in summary we're expecting an acceleration of revenue growth particularly double-digit growth in over time revenues and year-over-year in adjusted EBITDA margin. As you'll hear from Mike shortly, we're implementing a number of changes to our go-to-market plans and expect to make significant progress in driving broader cloud adoption in 2021. As we've said before the acceleration of digital transformation in the CRE industry is a positive catalyst for our long-term strategy. We remain favorably positioned for continued long-term growth. Moving on to our CRE consulting segment, property tax Q4 revenues were up 6% to $57.5 million and earnings were up 24% to $12.2 million. It was another record revenue year at an impressive -- with an impressive 31.4% annual margin. Growth in the quarter was driven by a double-digit increase in the U.K. where we had higher case settlement volumes. In the U.S. our pipeline is strong but we saw some COVID-related delays on settlements which could have some implications to our seasonal patterns in future quarters. And in Canada we had growth in Ontario. But it was offset by lower comparative performance in Manitoba which was at the peak cycle in prior year. I would also remind you as discussed on the past earnings calls, we had some expected Q4 settlements come forward into the third quarter in both the U.K. and U.S. Overall it was a fantastic year as characterized by higher appeal settlement volumes, higher success rates and higher savings for our clients a growing pipeline of business as measured by volume of appeals on hand and by total value. We continue to onboard new clients and more properties onto our platform thus increasing our market share. Property assessment values continue to rise and we see greater opportunities for savings particularly in disruptive times like these. And with the investments we're making on our technology platforms, we expect to see the continued benefits of improving our CRM and business development capabilities creating greater efficiencies in our workflows and capturing greater appeal savings through data and analytics. These trends set us up on very strong footing for sustained multiyear growth to deliver another record year in 2021. Our outlook is supported by a healthy pipeline of cases to be settled, anticipated catch-up from COVID related delays and higher annuity billings in the U.K.. Long term we continue to see great opportunity as we differentiate ourselves from our competitors with technology and data, grow our market share and enhance the repeatability of our revenues and our operating leverage. And finally our valuation and cost advisory businesses continued to deliver steady performance in these unprecedented times, a solid reflection of their market leadership. They are expected to continue growing modestly, driven by operating leverage enhanced efficiency and productivity from technology and improved cross-selling across the organization. Turning to our financial position. Our balance sheet remains in great shape and our cash flows are strong. In fact our cash generated from operations grew handsomely by over $21 million in 2021. We have a strong cash position of $70 million with $123 million in bank debt representing a funded debt-to-EBITDA ratio of 1.09x well below our maximum limit of 4x. On a net cash basis our leverage ratio is 0.55x debt to EBITDA. This provides us with plenty of room to continue investing in our growth both organically and through acquisitions. With respect to the proposed acquisition of Finance Active, we expect that after its cash funding our funded debt-to-EBITDA ratio would only move to approximately 2x still maintaining a very strong financial position. As I start to wrap up, reflecting our commitment to providing investors with more transparency, I wanted to highlight some disclosure updates that we plan to roll out with our first quarter results in May. First, we will begin to provide a bookings metric for Altus Analytics. This metric will include bookings for all of the revenue streams both Over Time and point in time revenues. Secondly, we will begin to allocate the variable compensation accruals or in other words bonuses for the Altus business segments in each of the quarters throughout the year rather than making the allocations only in the fourth quarter. In order to provide visibility of this change to our comparable 2020 numbers, we are uploading a table on our investor website with comparative performance to assist those modeling us. With that I'll now turn it over to Mike. 
Mike Gordon: Thanks Angelo and good afternoon everyone. As you said it was a year like no other and we're proud of the accomplishments achieved in 2020 that have put us on a strong foundation for the year ahead. I wanted to use my time today to lay out our strategic focus for the year and how the proposed acquisition of Finance Active fits into our strategy. With respect to long-term strategy, as I mentioned on the last earnings call, I'm not looking to make any substantial changes as I agree with the Altus' vision. Rather, I look forward to building on it and we'll be accelerating our efforts in emerging opportunities in the debt and data adjacencies that we believe will provide Altus Group with important building blocks for the future. We are excited about the opportunities ahead of this, this year which combined with our strong financial position and a positive market outlook makes this the right time to accelerate our strategy in support of our vision and long-term growth. Directionally, we'll continue down the path to become a leading CRE information services provider by building market leadership of our key offerings. Our vision is to be the global leader for the valuation and management of risk for CRE assets by enhancing the decision-making across the value chain through the use of technology, data, analytics and services. Operationally, the strategic initiatives we are focused on in 2021 will be foundational to our long-term success. First, as a top priority, we remain focused on accelerating AE cloud adoption. Nothing is more important to us than that, and we plan to make significant progress in 2021. With the signing of the Newmark and JLL deals late last year, we have good momentum with our sales force and expect more large deals to follow this year, with a goal to contract about 30% of our top 25 customers by the end of the year. To help drive this, we have developed a dedicated team and are focused on supporting our large customers with their moves to the cloud. With more users moving on our cloud product and platform, this opens up a number of growth opportunities for us, allowing us to further increase the proliferation of AE applications across our clients' workflows and the CRE value chain, and to grow our appraisal management and data solutions. Our focus remains on adding more users and new logos to the ARGUS ecosystem, enhancing cross and up-selling, pursuing more multiproduct enterprise deals and expanding internationally in Europe and Asia Pac. To help accelerate adoption, we are also evolving our go-to-market plans to help us capture more opportunities and really to be more aligned around an integrated business model across Altus Analytics. Historically, the focus has been driven by product offering. But as you know, we've been diverting from point solution selling and driving towards platform solutions that drive strategic value for our customers. We're organizing, our go-to-market strategies under our regional geographical focused model with integrated account planning, and greater alignment of product management with sales and marketing. We will continue to have an enterprise account management team for global platform deals, and we're launching a dedicated customer success team to identify differentiated and quantifiable customer value for acquisitions, to better support our customers. As part of the integrated approach, we'll be bringing more consistency and rigor to our sales forecasting, pipeline development, sales model, and internal training. Many of these changes reflect the evolution of our growth making this the right time to better align towards an information services model that is focused on driving recurring revenue. With respect to our product road map, to drive faster AE cloud adoption, we need to give customers compelling reasons to migrate. We can do this by better differentiating the value proposition between AE cloud and the legacy on-premise version. This requires product innovation and for the future version releases to have greater functionality developed exclusively on the ARGUS cloud, including additional APIs, and the interoperability that facilitates the enhanced workflows and collaboration. Strategically, we're driving towards addressing key CRE workflows to extend our reach in the CRE value chain, and above all to keep people on ARGUS for all their needs. We're moving from high-value point solutions to a more ubiquitous model that unifies our valuation, and asset management capabilities onto a single cloud-based platform that integrates numerous key workflows and enhances data-driven insights for the CRE industry. Second, we are accelerating our move into CRE debt management. Today's announcement of the proposed acquisition of Finance Active is a very exciting one for our company, and it has potential to provide us with a strong growth platform in its adjacency with an established market-leading SaaS solution. As many of you are aware, we identify debt as a natural and attractive adjacency for our Altus Analytics business, which is predominantly focused on the equity side of the equation. Although, we currently provide valuation and risk management solutions to some customers in the debt space and with ARGUS, including a couple of new debt clients last quarter, deeper capabilities are required to fully address this growing market segment. Our customers and the industry will drive significant value and be better equipped to manage risk performance from a fulsome 360-degree view of their assets that combines equity and debt. We are very well positioned to leverage our leading and global position, with ARGUS and appraisal management to further penetrate this adjacency, which we plan to do both through organic initiatives and through this proposed acquisition. With debt added to our tech stack, we would enhance our global platform and help us broaden reach across customer segments, use cases and workflow. Finance Active has been on our radar. We have followed the trajectory of their growth have gotten to know the team, carefully assessed the market opportunity in debt and strategize how we can leverage our global position to penetrate this adjacency. It became quickly apparent to me that Finance Active met our strategic criteria and that buying versus building would fast track our move into debt, something, I believe needed to be accelerated to stay ahead of the demand curve. Really, they met all the criteria in what we look at for a strategic acquisition. Market leadership in a strategic adjacent end market and geography a mature native cloud solution that fits in with our over time revenue model and addresses the critical workflow for our product road map, a strong installed base, with mutual cross-selling potential and of course a strong cultural fit. We're excited about the growth platform of this proposed acquisition and particularly with the talent on their team, which gives us increased confidence that we can integrate successfully and drive solid execution. We're working towards closing this transaction in the second quarter. Third, as we think about the opportunity ahead of us in data we need to accelerate our efforts to launch new data capabilities and revenue streams. This is something we need to start positioning ourselves for now. In support of that, we have a dedicated project team in place and initiated internal work streams to establish market use cases, feasibility studies, and a technology road map. On a very high level, it's about adding value through data-driven business insights. We believe the opportunity lies in providing our clients with data architecture and data model solutions enabled by ARGUS Cloud to allow clients to aggregate data sourced from internal systems, our own Altus data and potentially other third-party data providers. Such a platform with predictive analytics and alert capabilities would enable stakeholders to drive improved investment performance and better manage risk. We do not anticipate this to require any material step-out investments this year. In other words, it's in our budget. And fourth, we are continuing down our path on market share growth and digitizing property tax to sustain our double-digit revenue growth and high margins. I believe we can meaningfully enhance the value of this business by making the delivery of our services more tech-enabled and supported by data and analytics. This is a strong performing high-margin business with strong cash generation very repeatable revenues and a long growth runway. Yet there is still more that we can do and will do to modernize it and make this business more predictable. A key initiative this year will be to align our national operations under a common global operating and technology model. As we look ahead, it will be a big execution year and to support the go-to-market changes we're making across the organization, we have also recently built out our team. As I reviewed our operating structures against the opportunities driving our next phase of growth, it required us to realign under a new leadership framework and add some new skills. So we made some changes and built out our team with some new hires, particularly with technology and data experience. You might recall, we made some room for the change through the restructuring program in 2020. As you have seen through our announcements, we brought in Jim Hannon as President of Altus analytics, promoted Alex Probyn to the role of Global President of Property Tax to be supported by Russ Schreiber as his Chief Operating Officer. And in March, Jorge Blanco will join in the newly created role of Chief Product Officer working closely with Steve Bezner, our Chief Development Officer. The new additions have fit well with our business leaders helping us round out our bench strength for the opportunities ahead. We continue to invest in our people, sales and go-to-market capabilities, particularly as we have a lot of opportunities ahead that each requires specific expertise and boots on the ground in our strategic markets. With respect to our aspirational goal for our Altus Analytics business, I have spent a significant amount of time with our team to understand and test our different paths to $400 million by the end of 2023. So let me clarify our path to that number. Our path includes accelerating AE cloud adoption, accelerating our move into strategic adjacencies and data analytics and debt valuations, expanding our strong growth in appraisal management into Europe and Asia and continuing to build out data solutions initiatives. We will achieve these objectives through targeted internal investments and through strategic acquisitions of technology companies with an emphasis in the data and debt segments. We feel confident in our ability to drive double-digit organic top line growth and by accelerating our move into strategic adjacencies organically and through acquisitions. We feel we have a strong and balanced path to our aspirational goals. In closing, I want to thank our customers for their continued commitment to Altus to congratulate our employees for solid execution during a year like no other and say that we look very forward to welcoming the talented Finance Active team to Altus Group. On that note, let's open up the line for questions now. Operator?
Operator: Thank you. [Operator Instructions] Our first question comes from Yuri Lynk of Canaccord Genuity. Please go ahead.
Yuri Lynk: Yeah. Good evening everyone.
Mike Gordon: Hi, Yuri.
Camilla Bartosiewicz: Hi, Yuri.
Angelo Bartolini: Hi, Yuri.
Yuri Lynk: So Mike, interesting acquisition. I guess, can I call it an acquisition, or maybe you can just clarify exactly what we're waiting for before this closes? And then secondly, can you just talk about some of the revenue synergies that you see? And maybe Angelo, can you touch on any other financial guideposts for Finance Active besides the revenue? 
Mike Gordon: So sure, Yuri. I think on Finance Active, as I said earlier, we're very excited to be getting into this proposed acquisition. I think we're using the term proposed because there's a number of steps that we still have to complete with them based off some requirements to be honest in France. We do look at the proposed acquisition to be very aligned with our business as we like the -- certainly the SaaS model that they've developed. Our customers we feel are very much aligned and we think that there is a good amount of opportunity to cross-sell and upsell our solutions into both customer sets. You can bet your bottom dollar that we're going to try to get this done as quickly as possible. But today, we feel really good at the steps that we're at and look forward to finalizing it.
Angelo Bartolini: So Yuri, in terms of just the metrics given where we are at in the process, really all we are disclosing at this point is a range of purchase price in €100 million with an approximation of their revenues which is roughly like €25 million. I did indicate though that this is going to be a deal that we'll do primarily in cash there is an equity component. And having said that even after the funding of this deal the balance sheet remains very strong in a very strong position. We're estimating roughly a two times debt-to-EBITDA ratio, so still lots of potential to do more investments after this acquisition. 
Yuri Lynk: Is that a net debt to EBITDA? 
Angelo Bartolini: That's a gross. 
Yuri Lynk: Okay. And then just on the outlook, I appreciate the $400 million aspirational goal. I think it's fair to say previously that I think organic growth was going to play a bigger role in getting there. Just how has your view of the organic portion of that $400 million goal changed over say the last six months? And what's been the cause of that? And then I'll get back in the queue. Thank you.
Mike Gordon: What I would say about it is our -- we still expect organic growth to be firmly in the double-digits. I think that when we look at our near-term pipelines, our long-term pipelines, we feel very confident about double-digit organic growth. I think as I looked at the different plans and worked with the team to develop like our different paths, we realize that as these adjacencies started really sprouting out like in the debt and the data adjacency, it became evident that to accelerate our position in there which would actually also accelerate our cloud adoption that acquisition became quite useful.  My view is that organic growth will still be by far the majority of the growth that we're going to do. But at the same point, we will be adding in acquisitions and we've always been an acquisitive group, but our acquisitions are going to follow more around technology data and analytics and fill gaps where we feel that we were going to build something, we might buy it at this point. And so that's how I think we're pivoting right now as we move into 2021 and beyond. 
Yuri Lynk: Thanks for the color.
Operator: Our next question comes from Daniel Chan of TD Securities. Please go ahead.
Daniel Chan: Hi. Thanks. Just on Finance Active, just wondering by moving into the debt market any idea of how much it increases your TAM? 
Mike Gordon: Yes. We believe that our TAM depending on how you calculate it, it will move up somewhere between 50% and 75%. 
Daniel Chan: Okay. So a significant increase there. How should we be thinking about the integration of Finance Active into the company? And then kind of bringing your products together before you can start doing some of that cross selling? 
Mike Gordon: I think that -- Daniel that's a fair question. I think for us, what we're discussing is really looking at the use cases that customers need and where our customers can use both products. And that will be the focus of probably 2021 to really get our products cross-sold and upsold through their channels and their products cross-sold and upsold through our channels.  I think the important thing for us as we go to integrate the business is we really want the team to continue to work on their own, but at the same point integrate some of the back-end systems and really get their services on our cloud as soon as possible because once we start doing that that starts to be path towards interoperability, interconnectedness and that will allow us to unlock other use cases that we can bring to our customers whether that's around the workflows that we discussed or some new data solutions we're looking into. 
Daniel Chan: Okay. That's helpful. And then final one for me. Any timing on the rollout of -- or the migration of JLL and Newmark to the cloud? And how should we think about how it impacts the overall revenue and margins as you take maintenance revenue and move it into a subscription-type contract? Thank you.
Mike Gordon: Very fair question. The timing and the migrating of those two customers obviously we have -- they're two of our largest moves to the cloud and we're certainly working through that with them. Right now, as I said earlier we are dedicating a set of resources to make sure that that move is easy steady and valuable to them in the 2021 timeframe. I think all actors want to make sure that they get the value of what we're putting on in the cloud as soon as possible.  As we move them onto the cloud obviously, we will be moving them more to a subscription-based model and we feel comfortable with what that looks like with them. We are definitely talking about how we can partner with them more on some of the new solutions. And I think our -- as we talked about earlier I think when your questions was on pricing we are maintaining where we think our pricing should be for our cloud-based products. 
Operator: Our next question comes from Richard Tse of National Bank Financial. Please go ahead.
Richard Tse: Yes. Thank you. So we're kind of a year in this pandemic now kind of hard to believe. But when you talk to your customers, how have they changed the way to think about sort of operating their businesses going forward? And how does that impact Altus? 
Mike Gordon: Well, our customers I mean depending on which part of commercial real estate you're in either they've been heavily impacted or they've been benefited by COVID. I think that what we've seen in -- as I've spent time talking to our customers over the last couple of months, they are in more need of the valuation and risk management solutions now than they have been in the past. Valuation management, our advisory appraisal management services and our solutions around the cloud are being probably leveraged more than ever.  I think that they're -- with COVID there's definitely a macroeconomic environmental change that's causing them to look at every one of their valuations. And I think we're very well positioned for that. That's increased a lot of activity. It's increased a lot of our advisory. And then it's also starting to build and make our pipelines more robust.  So while as a whole the market is thinking about what it needs to be for CRE and how that impacts the assets out there, there's a lot of extra activity for our part of the market because of where we fit. 
Richard Tse: Okay. When you sort of look at the transition in the cloud, obviously that's very important in terms of the strategy that you've laid out here. What do you see sort of the most natural products to kind of upsell on that base once that transition is complete or largely complete? 
Mike Gordon: So I mean, I think that we're building out more of an asset management-based platform around our ARGUS Enterprise on the cloud product. So clearly, we think that there will be good upsell and cross-sell around that. Upsell from the standpoint on ARGUS Enterprise to more users leveraging the product not only just for the valuation, but the reporting more cross-sell around our current products like Voyanta and Taliance.  And then certainly cross-sell opportunities around our products in the appraisal management area called DataExchange. As those move to the products, they move to the cloud as well. And ultimately as we finish the acquisition of Finance Active, we expect cross-sell and upsell there as well. 
Richard Tse: Okay. Okay. And just one last one for me. This might be for Angelo. But when I look at over time revenue, can you maybe sort of split for us the proportion that's coming from net new sales versus customers shifting to the cloud? Is that sort of the right way to look at it?
Angelo Bartolini: Well, right now it does include all sources. But Richard, I'll take that under consideration for future disclosures. But at the moment it includes both. And we have a healthy base of new clients, but it is embedded in that metric. Primarily still given especially early days with some of these larger transactions, it's going to be skewed a little bit to sort of existing clients and migrations, but particularly in the SMB market, we're seeing a number of new clients in that segment. 
Richard Tse: Okay. That's great. Thank you.
Angelo Bartolini: Okay.
Operator: Our next question comes from Stephanie Price of CIBC. Please go ahead.
Stephanie Price: Hi. Good afternoon.
Mike Gordon: Hi, Stephanie.
Stephanie Price: Hi. With perhaps more of a focus on M&A, I just wonder if you could talk a bit about the M&A criteria that you're kind of looking at when you're assessing these deals?
Mike Gordon: Fair question. I think for us we're looking to be a little bit more strategic around our acquisitions. When I -- when we think about acquisitions as we are continuing to build out our solutions, the first thing that we think about is what the technology, what the data, what the analytics could be that could be added into our ecosystem as well as what we can add in or around our -- the services business that we have. So what we're looking at number one is for those assets as we go into strategic acquisition. The second thing that we're looking for obviously is, if we can actually leverage any of those to help us in any new end markets or geographies that we're wanting to go through. We feel like that there's -- as we are looking to build out our European operations that there's a number of assets that should help us over there. When we look at these acquisitions as well it's very simply that we're looking at recurring revenue and what that business looks like so that we can make sure that we add to that. So, acquisitions that have gone through the transition or are close to finishing is something that we're looking at. That allows us to start looking at a very strong installed base for cross-sell potential. We also want to look for acquisitions that have strong Net Promoter Scores for our customers. And ultimately when we go through this, it has to fit well within our road maps and we need to know exactly how that would fit going forward. So as we look at those acquisitions we have a well thought through road map, a plan for integration as well as how we're going to sell and service customers. So that's kind of like in a nutshell the four or five things we look at.
Stephanie Price: That's great color. Thanks. And maybe just on the cross-selling piece. On Finance Active, can you talk a little bit about what customers are using for debt and risk management now and whether you have any joint customers with Finance Active right now?
Mike Gordon: I would love to talk about more of that now, but I'm probably at this point as we are a couple of steps away it probably -- I would be happy to talk through that with you at a later date. What I could tell you is we feel very good about the cross-sell potential.
Stephanie Price: Great. And maybe I'll just ask one more. In the past I think the aspirational target for AA has included kind of EBITDA margins in the plus 30% range. Just curious how you're thinking about that target in that margin range.
Mike Gordon: Stephanie, we think about as we're growing double-digits, but -- organically at the revenue line we would like to increase our EBITDA by a faster double-digit growth. And so that's what we're looking at in our plans going forward. So at this point we expect that to continue to improve over the next two to three years. We think that we are doing the right things to really enhance our margins. And as we move more to the cloud and start turning off some of our legacy products that's naturally the fit that you see what happens around this. So, more to come there.
Stephanie Price: Great. Thank you very much.
Operator: Our next question comes from Stephen MacLeod of BMO Capital Markets. Please go ahead.
Stephen MacLeod: Thank you. Good evening everyone.
Mike Gordon: Hi, Stephen.
Stephen MacLeod: Hi. Hi. I just wanted to follow-up a little bit just on the 2023 outlook. I mean, obviously, it hasn't changed from where you were previously, but I would say that the tone is a bit less cautious than it was potentially when you reported Q3. So I was just curious when you think about the cadence towards that 2023 goal, is it fairly -- is the growth fairly evenly distributed between now and then? And then, I guess, secondly you talked about acquisitions maybe forming more of -- or a larger role in achieving that goal. How many do you expect to do other acquisitions? And you mentioned debt and data. Do you expect to do other acquisitions in debt above and beyond the Finance Active? 
Mike Gordon: Sure. There's a couple of questions there. So let me start with the tone. I think I unfortunately only got -- was here for six weeks when I had to give the last update. I think that as I've gotten to know the team more and spend time with the team, there's something about operationalizing a plan, right? And we feel very confident with our operational plan and that's allowed us to like start thinking about what the different paths are to that number. So, yes, I feel a lot more confident right now. Back to the growth trajectory that we look at, listen, we're expecting to do good double-digit growth each year and we expect that to continue to grow as we shift customers over to the cloud, build out the adjacency products, service the customers across more enterprise solutions, we think that that will continue to grow. But we think that -- we think that the percentage growth year-over-year will be fairly consistent. And then to your third point around acquisition, we plan to be acquisitive. Angelo had a good overview of where we sit with our balance sheet. We have a very strong balance sheet, thanks to what he and his team has done. I think that we're going to leverage that balance sheet to continue to look for those acquisitions that fit into the criteria that was asked before around technology data and analytics. And we look forward to adding those things as we are filling out the things that we can buy out there to fill out our product road map.
Stephen MacLeod: Great. And then maybe just secondly you achieved a couple of significant milestones in Q4 or – yes, Q4 I guess it was not subsequent. You had the two large service providers signing on or transitioning to cloud. You surpassed the 1,000 customer milestone for cloud. I guess this is actually a two-part question. Would you expect that the two large transitions signify that you are getting more success with larger customers despite that longer sales cycle? And then maybe secondly beyond 1000 customers what's the next customer milestone?
Mike Gordon: Sorry, you made me smile on the next customer milestone. These are the things we should be coming up with really quickly to keep you guys excited. That's the first question. Listen with the two large customers coming on, we're going to be expecting more large customers to move on. I think that when you talk to large customers, they understand the value but they have large complicated distributed enterprises. And as such, we really do need to think through how we implement that with them, how we help migrate them from previous versions of ARGUS. And I think from that standpoint I think we have a pretty good sense of how to do that. And these customers felt that this was the right time for them to move. I think that we'll start to see more customers like that move over time, especially from the standpoint of just that but also we're starting to like build out what they were hoping that would be on our cloud. As Angelo and I have talked about today, those connectors coming out and those APIs to other solutions, as we connect our ecosystem with others that are out there to make it easier for them to do work. The collaborative interfaces that we're adding into this, the ability for them to look down their chain I think that's all incredibly valuable technology that comes out pretty quickly. So we expect that more large customers would adopt as these guys have and we'll focus from there. As for the next level, I mean certainly, listen, I think we'll give that information out as we go. But I think we expect to be – I think you should start expecting to see sort of the numbers moving up by a couple of percentage points. Every quarter our goal is to be a lot more aggressive on that. I talked about earlier that we want 30% of the remaining of our top 25 customers to move to the cloud. We want the next set to have a higher degree than that. And I think this is the goal is to create that ecosystem and work with those large customers to make sure that they see the value there and get them on as soon as possible.
Stephen MacLeod: Yes. Okay. That’s clear. That makes sense. Thank you so much.
Operator: Our next question comes from Paul Treiber of RBC Capital Markets. Please go ahead.
Paul Treiber: Thanks. Good afternoon. Just wanted to focus a little bit on the data opportunity. You talked about making some early investments now. How should we think about the time frame for monetizing data? Like is it something that you'd anticipate some revenue in the next couple of years, or is it out longer than that?
Mike Gordon: It's not longer than that. We expect to monetize some of the opportunities that we've identified and are working with those customers, hopefully by the end of this year if not at the beginning of next year.
Paul Treiber: The – and based on your experience running other data businesses, what the – what you're starting with Altus is you effectively have a large pool of data as cloud adoption increases and then you also have a large customer base. So how rapidly or easily do you expect the data business to scale from that position? 
Mike Gordon: Well I mean the good news is in – we do have a data business in Canada that is very successful. So we have a lot of experience around this and it's just aligning that experience to our ARGUS Cloud. I think for us it's not just about – it's not about building out extra data sets but it's really trying to drive insights to the data and the changes in the data that our customers are seeing. I think to me when we – when I've been part of other data businesses that's the value. And it's really the value to help them make the decisions every day. And so our data business and I would be remiss to say our data and analytics business is going to be focused around that. There's a lot of great data providers out there in this industry and they'll do what they do. Our view is to provide more insights around the data that we're seeing flow through our channels, helping customers like with benchmarks or scores or alerts and really helping them understand when things are changing, especially in the environment that COVID has left the commercial real estate market in. So that's how we're going forward.
Paul Treiber: All right. Thanks for taking my questions.
Operator: Our next question comes from Deepak Kaushal of Stifel GMP. Please go ahead.
Deepak Kaushal: Hi, good evening, everyone. Thanks for taking my questions. Mike I know it's early days on Finance Active. And I just took a quick glance at the website. It seems like they have a reasonable portion of their business with non-CRE industries or segments. Can you – are you able to discuss that a little bit? And is there kind of a vision to get into broader data services for broader industry segments here? How should we think about that? 
Mike Gordon: So I think I'd probably discuss as much as I can on Finance Active, as we're still progressing on certain things. What I would say is you're right, they do have a broader set of customers. And we see an opportunity to really move into new spaces with our business that are probably adjacent in the – to the commercial real estate business through -- whether through partners or through our own expertise, we see debt getting us into banking and the banking workflow. And I think that the data that is there around commercial real estate would be very important especially when you're doing the valuation. So that's something that we see as a good use case that we plan to do some work with. We've had some discussions with partners. We've had discussions -- some discussions with some players there and we feel very comfortable that that could be a great use case for us. So that's probably one example of us expanding out. There's also obviously the opportunity to expand into more public sector opportunities, especially when it comes down to some of our software products like Developer and EstateMaster. So we think that there's good work there. And then, literally as we think about -- just, as we kind of put that 360-degree view of debt and equity together for the funds, we would hope that that would help us enter more differentiated funds that are out there than just the current funds that we service today. So I think those would be the three, for lack of better term, adjacencies other -- just right next to commercial real estate or one step beyond that we would look at having some fun with.
Deepak Kaushal: Okay, great. And you've mentioned risk management a couple of times. Are you referring to broader risk management services, or is this largely pertaining to using the existing CRE type of data that you have to provide insights in risk management decisions for your customers? How should we think about risk management regarding that?
Mike Gordon: On the average, the latter versus the former, I think we need to walk in that area first before we run in something else.
Deepak Kaushal: Got it. Okay. And then, just, maybe my last question, because I know it's getting a little late in the evening. Obviously, you're announcing Finance Active before it's closed. I mean how should we think about the risk on deal closure? I mean, in other segments, we've seen people propose acquisitions in France and they didn't turn out. So they didn't get close. So how should we think about that? What are the kind of milestones we should look for over the next couple of months? So any color there would be helpful.
Mike Gordon: I think, that's a fair question. Obviously, any time you buy in a new market, you have to consider how to work with that market. I have, in previous lives, closed deals in France and Central Europe. And I think that, we'll be announcing steps along the way around how we get there. What I would say right now is, based off the conversations I've had with the leadership there, I feel like they're an amazing cultural fit with our organization. We both see the world very much the same way and we see the opportunity to really expand both our footprints. And so, I think you'll see things over the next weeks and months that we will do this as quickly as we can.
Deepak Kaushal: Okay. But more specifically, is there like an external requirement, like a regulatory requirement or a government kind of security review or financial services review that need to get a stamp on?
Mike Gordon: There's a couple of requirements, as I understand in France, around the staff, but we're working through that with them and we will get that started.
Deepak Kaushal: Okay. Thanks. I appreciate that. I’ll pass on.
Operator: Our next question comes from Gavin Fairweather of Cormark. Please go ahead.
Gavin Fairweather: Hey, there. Good evening. Just quickly for me. Just on the Yardi Connector, obviously, a lot of your clients would be using Yardi for some of the back office work. Can you just talk about how important that connector is for your enterprise clients and just some of the workflows that could unlock? That's it for me. Thank you.
Mike Gordon: Really, a fair question. Thank you for asking that one. I think, every -- what I would hear from our customers is, anything that can help ease the burden of moving data back and forth across a multitude of use cases, between us and Yardi and ultimately some of the APIs we build out there for other systems, is incredibly important to them. Number one, it will help them make decisions better in both systems. Number two, it will ease the burden they have on different versions of the product going out there. And number three is, I think, it actually provides a lot more value when they're going between the systems in their own environment. And so for us like what we've seen and when we've started to prioritize the roadmap especially for our cloud-based products, you'll see a steady stream of connectors coming out there are universal APIs from us. I mean, I'm very excited to be doing this with the guys from Yardi. They've been a great partner on this and we're excited about this.
Gavin Fairweather: Great. Thank you.
Operator: Our final question comes from Paul Steep of Scotia Capital. Please go ahead.
Paul Steep: Mike, can you just clarify for us in the MD&A you talk about retooling and scaling your sales organization to better address market opportunities. Should we take this to mean that there's been a larger reorganization, or maybe walk us through what you're alluding to on that front, because it sounds fairly broad in scope? And then one quick follow-up.
Mike Gordon: Okay. Fair enough, Paul. We're evolving from where we were in the past. I think that when you take a look at what we've heard from our customers, we're becoming more of a trusted adviser on a number of things in the marketplace. We're also moving from more point in time sales or point sales around a product to more enterprise-wide solutions that go across not only just our products but other ecosystems as well. And as such, we are really trying to make sure that as we talk about selling, you have a regional construct, you have an accounts construct and then you have a solution construct. And what we've been trying to do with our sales teams is to work through what the best way to set that up is, identify where we have gaps so that we can make sure that all of our customers have good access to the solutions that we have. One of the other things that go into this is that I talked about earlier was building out of a strong customer success function. And this is a natural outcome of switching more to the cloud because it's not only about, obviously, building the pipeline and closing that pipeline but it's also about making sure that our customers are every day seeing the value of that. And so that's where a lot of that activity has gone.
Paul Steep: And then just quick follow-up. Just on M&A, obviously, you've moved quickly already on one hospital acquisition that could close. Maybe talk about your willingness and if there's been any change in view on your use of leverage and maybe even the use of equity to scale up and more aggressively go after the data opportunity? Thanks guys.
Mike Gordon: Good question. I think for us, I mean we are -- as we are looking at the market, we think that there's a lot of great opportunities in our core valuation space and risk management space, but also as we talked about in debt and currently data. We do plan to be active in this space. I think for us we'll continue to -- we will use our strong balance sheet. I think that if we find a great acquisition for ourselves and there's something out there that we have to use a combination of debt and stock, we definitely will consider it. Right now, I think what we're looking at is acquisitions in the size of what we did of the proposed acquisition with Finance Active. There might be some smaller, there might be some larger. But I think what we're looking for more is the building blocks in data to add to the assets we currently have. 
Operator: This concludes the question-and-answer session. I would like to turn the conference back over to Mike Gordon for any closing remarks.
Mike Gordon: Thank you so much. This was a -- I appreciate the evening as always with everybody. I think that we're looking forward to the New Year. And as we said, we are very excited about our prospects for 2021 and beyond. I thank everybody for their time on the call and I look forward to working with all of you in the future. Have a good evening. 
Operator: This concludes today's conference call. Should you have any further questions please contact Camilla Bartosiewicz at Altus Group. You may disconnect your lines. Thank you for participating and have a pleasant day.